Operator: Ladies and gentlemen, thank you for standing by. I would like to welcome everyone to the MediaAlpha Fourth Quarter and Full Year 2023 Earnings Conference Call. [Operator Instructions] I will now hand the call over to Denise Garcia, Investor Relations. You may begin your conference.
Denise Garcia: Thank you, Bhavesh. After the market close today, MediaAlpha issued a press release and shareholder letter announcing results for the fourth quarter ended December 31, 2023. These documents are available in the Investors section of our website, and we will be referring to them on this call. Our discussion today will include forward-looking statements about our business and our outlook for future financial results, including our financial guidance for the first quarter of 2024, which are based on assumptions, forecasts, expectations and information currently available to management. These forward-looking statements are subject to risks and uncertainties that could cause future results or events to differ materially from those reflected in those statements. Please refer to the company's SEC filings, including its annual report on Form 10-K and its quarterly reports on Form 10-Q, for a fuller explanation of those risks and uncertainties and the limits applicable to forward-looking statements. These forward-looking statements are based on assumptions as of today, February 20, 2024, and the company undertakes no obligation to revise or update them. In addition, on today's call, we will be referring to certain actual and projected financial metrics of MediaAlpha that are presented on a non-GAAP basis, including adjusted EBITDA and contribution, which we present in order to supplement your understanding and assessment of our financial performance. Non-GAAP measures should not be considered as a substitute for or superior to financial measures calculated in accordance with GAAP. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are included in our press release and shareholder letter issued today. Finally, I'd like to remind everyone that this call is being recorded and will be made available for replay via a link on the Investors section of the company's website at investors.mediaalpha.com. Now I'll turn the call over to Steve and Pat for a few introductory remarks before opening the call to your questions.
Steve Yi: Thanks, Denise. Hi, everyone. Welcome to our fourth quarter 2023 earnings call. I'd like to make a few observations before turning the call over to our CFO, Pat Thompson, for his comments. After a difficult up and down year, we ended 2023 on a solidly positive note. Our fourth quarter results exceeded the high end of our guidance ranges across the board, driven by stronger-than-expected growth in our P&C insurance vertical. For the past several years, lingering pandemic-related inflationary pressures created the most difficult auto insurance market in decades. Going into 2024, we're now confident that a sustainable industry recovery is finally underway. During December, we saw a major carrier make meaningful increases in their marketing investments, and this positive trend has accelerated into the new year. Accordingly, we expect first quarter P&C transaction value to nearly double quarter-over-quarter, far surpassing typical seasonality, and we expect continued growth over the course of 2024 as more of our auto insurance carrier partners achieve target profitability and retrained our focus on customer acquisition. Q4 results in our health insurance vertical were in line with expectations, driven by continued strength in our under-65 business, which was offset by weakness in Medicare, as our partners face headwinds in adapting to recent regulatory changes as well as medical care cost inflationary pressures. We expect these broad trends in under-65 and Medicare to continue in the first quarter. Looking forward, we're optimistic that 2024 is the beginning of great things to come. Our unwavering focus on our partnerships and maximizing operating efficiency during what proved to be an exceptionally difficult market downturn, have laid the foundation for what we believe will be a period of significant top and bottom line growth. With that, I'll turn the call over to Pat.
Pat Thompson: Thanks, Steve. I'll begin with a few comments on our fourth quarter financial results and other recent business and market developments before reviewing our first quarter financial guidance and opening the call up for questions. As Steve mentioned earlier, our fourth quarter results exceeded the high end of our guidance ranges. Adjusted EBITDA increased 40% or $3.6 million year-over-year, driven primarily by higher contribution and continued expense discipline. Transaction value in our P&C insurance vertical was up 21% quarter-over-quarter, ahead of expectations as a major carrier ramped spend on our platform. Transaction value in our health vertical was roughly flat year-over-year, in line with expectations. Moving to first quarter guidance. We are highly encouraged by the trends we have seen thus far. In P&C, we expect transaction value to nearly double sequentially far in excess of typical seasonality. Despite these increases, we expect transaction value in our P&C vertical to be down modestly year-over-year, as a major carrier is ramping customer acquisition at a more measured pace this year relative to their dramatic increase in the first quarter of 2023. In Health, Q1 is typically a seasonally weaker quarter with a smaller contribution from Medicare. We expect the trends Steve highlighted earlier to continue, with transaction value growing in the mid- to high single digits year-over-year. Overall for Q1, we expect strong year-over-year adjusted EBITDA growth, driven by higher contribution and continued expense discipline. As a result, we expect Q1 transaction value to be between $175 million and $190 million, a year-over-year decrease of 6% at the midpoint. We expect revenue to be between $105 million and $115 million, a year-over-year decrease of 1% at the midpoint. Lastly, we expect adjusted EBITDA to be between $9.5 million and $11.5 million, a year-over-year increase of 45% at the midpoint. For overhead, we expect contribution less adjusted EBITDA to be approximately $500,000 to $1 million higher than Q4 2023. Touching briefly on expenses. We remain focused on driving efficiencies and have modest hiring plans for 2024. We, therefore, expect limited overhead growth for the full year, driving significant operating leverage as revenue growth picks up. Regarding share-based compensation, 2024 levels are expected to be approximately $20 million lower than 2023, as certain founder grants issued at the IPO were fully vested by the end of the year. Finally, Q1 legal costs associated with the ongoing FTC inquiry are expected to be approximately $750,000. Turning to the balance sheet. We continue to prioritize financial flexibility and using excess cash to decrease net debt. We ended the quarter with $17 million of cash on hand, and our focus remains on reducing financial leverage through a combination of net debt reduction and adjusted EBITDA growth. With that, operator, we are ready for the first question.
Operator: [Operator Instructions] Our first question comes from the line of Cory Carpenter of JPMorgan. Please go ahead.
Cory Carpenter: Hi, thanks for the question. Steve, I wanted to ask, in your view, what's different this time around? You mentioned a sustainable recovery is underway. So kind of what's different in what you saw this time last year that you would call out? And then secondly, you called out one major carrier ramping spend at the end of 4Q. Curious what you're seeing from other carriers as the years progressed. Thank you.
Steve Yi: Hi Cory. Sure. Yes. So I think what's different this time around is it's pretty evident when you look at the underlying profitability of all the carriers in the industry. What you've seen is really the second half of '23 being far better than the first half, and carriers such as Progressive, Allstate, really everyone who's coming out with their Q4 results showing stronger results in the second half of '23 and particularly strong results in Q4 of '23. That's really leading into, I think, justifiable optimism or justified optimism as for where their rates are going into '24. I think as you look back into where the industry was in '22 coming into '23, I think you're just going to see a far different picture from a profitability perspective. And I think that goes to the second part of the question that you had as well, which is that in terms of other carriers, we do see sort of broad-based sentiment that the market has turned. We're engaged in positive growth discussions with almost all of our major carriers. Certainly, the -- currently, the recovery has been driven by one primary direct writer. But we are starting to see an uptick in spend from many of our major carriers, and we expect that to really continue through '24 and into '25.
Cory Carpenter: Okay. Great. Thank you.
Operator: Thank you. Our next question comes from the line of Michael Graham of Canaccord Genuity. Please go ahead.
Michael Graham: Yes. Thank you. It's great to see the recovery taking shape. I wanted to ask a question on what kind of operating leverage you think you might be able to see as we move through the year? You just guided to, I think, 9.5% EBITDA margin, which is great and pretty consistent with what you were doing sort of a couple of years ago before the downturn, and I know you have cut some costs sort of from then until now. So just wondering if you could kind of frame out how you're thinking about operating leverage, if we're fortunate enough to see this recovery gain momentum throughout the year.
Pat Thompson: Yes. And Michael, this is Pat. Thank you for the question. So I would probably take that question in a couple of chunks. First piece would be to say that we're generally in the business to give guidance kind of one quarter at a time. So there's not going to be any firm numbers kind of beyond Q1 that we'll share. But probably a couple of things I would point you towards. One would be that this is a largely fixed-cost business. And as transaction value goes up, revenue tends to go up as well and contribution tends to go up and overhead tends to be relatively more fixed. And I think we're in a spot where we don't have grandiose or ambitious hiring plans. Of course, we're going to be adding capacity in a few places, but we're not planning on anything, no step function change in our overhead base over the course of this year. And regarding kind of the overhead guidance we did give for the year of modest growth would kind of point you towards the comps on that, which was on May 1 of last year, we did a risk. So our Q1 overhead guidance has us down versus Q1 of 2023. Q2, the comp got a little harder because we had some of the risk benefit in there. And Q3 and Q4 were kind of run rating at the lower level. And so as you think about this year, Q1 will be down year-over-year and then the growth rate will kind of step up as we go through the year and wouldn't be -- we probably expect Q3, Q4 overhead to be a bit above where we're projecting for Q1. And so hopefully, that gives you some color on OpEx to be able to kind of forecast what the take rates could look like as the business recovers.
Michael Graham: Yes, that's helpful.
Pat Thompson: Thank you, Pat
Operator: [Operator Instructions] Our next question comes from the line of Tommy McJoynt from KBW. Please go ahead.
Tommy McJoynt: Hi, good afternoon, guys. Thanks for taking my questions. Are there any lessons learned sort of thinking about the -- this cycle relative to the last hard market and kind of exiting 2017 into 2018 and beyond? Just putting that kind of in context how we can think about the buildup and the ramp of the recovery in personal auto spend. And if you could put that answer in the context of acknowledging that, just the overall pie, I guess, of the overall personal auto premium market size is evidently much larger right now than it was back then. So if you could just kind of put that in context as we think about building our forecast.
Steve Yi: Yes, sure. That's nice. I think the most important takeaway that I have from the last hard market is really about how unpredictable the recovery can be and the magnitude of the potential recovery, really making that transition from the last hard market in 2016 and '17 into 2018,, that was our biggest growth year in the history of our company. And so the timing of this recovery, I think it's still to be determined. And I think that's really a testament to how unpredictable the cycle has been and how much deeper this hard market cycle was than the last one where really, carrier advertising spend remained flat as opposed to this time around; whereby some estimates, overall, auto insurance, carrier advertising spend went down by 35%, 40%. And so -- but when we think about the recovery and where the markets come back to, certainly, I don't think -- we don't have a magic ball as it comes to exactly the timing and the magnitude of the recovery, but we do know from past experience that when the market does recover, it can recover pretty quickly and in a very fulsome way.
Tommy McJoynt: Got it. That's good color. And then my second question, it was really a tough stretch year for any of the business models that are dependent on insurer customer acquisition spend over the past couple of years. Do you have any indication whether or not the competitive landscape has gotten more attractive simply by means of some competitors maybe not making it through or having to tamper down some of their growth expectations? Or do you view most of the competition to be pretty large and scaled players sort of have the capital resources to navigate, so it's a pretty unchanged competitive landscape?
Steve Yi: Yes. I will say, listen, honestly, I think it's remained relatively unchanged. We measure our competitive landscape and our market share based on the number of supply partners we have who were in marketplace. And so I mean, in this hard market when really advertisers weren't spending, we didn't see really any notable movement in market share, namely any losses of supply partners or gains of major supply partners. In the dry market, as we've seen over the last 2.5 to three years, that's totally to be expected. I think with that said, I think that the players in this space have largely remained. We didn't see anyone really drop out of the competitive marketplace. And so the competitive landscape hasn't changed, but we do expect that coming out of this hard market cycle that we're going to gain market share as we did coming out of the last hard market cycle, simply because we're the largest marketplace, we're a marketplace dedicated to carrier spend. And really, that's where the recovery is going to happen. And so we do anticipate that we're going to gain market share vis à vis our competitors and what you've seen over the past 2.5 to three years.
Tommy McJoynt: That's great. Thank you.
Operator: Thank you. Our next question comes from the line of Andrew Kligerman from TD Cowen. Please go ahead.
Andrew Kligerman: Hi. Good evening. Congrats on your persistency in having a great quarter.
Steve Yi: Thanks, Andrew.
Andrew Kligerman: I guess it would be -- sure. I mean it's been a lot of tough quarterly calls, so great to be on this one. But thinking about the cadence of how your revenue might come back, I guess the first question, and the two are intertwined. Do you think -- and again, I know you only give quarterly guidance, as Pat says. But looking out to 2025, do you see a potential where you could be at a run rate on transaction value that looks like it can grow on top of 2019-type numbers? And then tied into that question, private versus open transactions. Is this large customer that you're talking about more geared toward the private market? And so as advertising opens up and more activity occurs, could that come from more open-type business? And could that be a lot higher in margin and profitability than what we're seeing out of the gate in the first quarter?
Pat Thompson: Great. So Andrew, I can take that. I'll maybe answer the second question first, actually. It was regarding large customer and kind of gearing to the private marketplace. So yes, that is true. The -- we have -- I would say a couple of things. One is our P&C business generally has slightly lower take rates than our Health business. And within P&C, P&C tends to be more private than is Health. And our largest advertiser in P&C tends to be more heavily private than the rest of P&C. And so I think kind of given those couple of trends actually, what we've seen is the margins stepped down in January, which was we have less Health in January than we did in Q4, and then spend kind of ramped up in January into February. February, the take rates have come down a bit. And as we're forecasting March, we think they're going to come down a bit more, and that's going to be largely mix driven for us. But in terms of take rate, which we kind of think of as being contribution over transaction value, that number is kind of gently coming down as the market recovers. And that's probably consistent with some of the trends that you've seen over the last few years as we've had periods of relative strength. And flipping to your first question, which is what could 2025 be like? And I would just say that we guide to what we have confidence in, which is Q1. And one of the things in my 2-plus years I've seen here is that the further out we get, the wider our span of potential outcomes gets. And I think given what we see right now, we're feeling pretty good about what 2025 could look like. But it could be better than I'm expecting, worse than I'm expecting, better than you're expecting, worse than you're expecting. And so it's kind of hard to say, and so I don't want to get into the business of giving hard numbers on that when we just, quite frankly, are focused on executing in Q1 and into Q2 before we talk to you again.
Andrew Kligerman: Very fair, Pat. But just taking that, if I'm assuming a good health growth level, we could see more margin coming from the open transactions, which would be more profitable, again, but that would be my view, not yours. Is that a fair kind of assumption if we see a nice trajectory in growth, more could come from open given that this big account is private?
Pat Thompson: Yes. And Andrew, I would say it's going to be very dependent on the spend dynamics within the P&C vertical, which is, one major carrier is more private. They've been stepping in, in a meaningful way. And as others come back, could that mix start to shift more open? Sure, it could.
Andrew Kligerman: Got it. And if I could sneak one last one in. On the Medicare Advantage business, would you expect -- this was a very tough year in terms of new regulations into play. Do you see that -- how do you see that dynamic playing in, in the big fourth quarter of 2024? Do you think that you'll be more nimble? Do you think more of the case of carriers who are nimble and active in that market, given that they may have adapted to this regulation? So if you could give a little color on what the regulation was and how companies might be in 2024, that would be really helpful.
Pat Thompson: Yes. And Andrew, I think the trends for 2023 and what could be coming in 2024 are a little bit different, so probably order, which is I think on the 2023, what we saw was new marketing rules put into place, and that was around kind of what you could say in creative with the carriers ultimately having to approve marketing messaging that was put in front of consumers and also some changes around waiting periods for kind of working leads and outbound dialing. The biggest change was the marketing rules. And essentially, we saw some set of kind of publishers struggle to adapt to those new marketing rules to say, "Hey, you've always used marketing messaging A, and you got to pivot to B." And that's -- some people were able to adapt more quickly than others on that. And on the approval side, different carriers and some major brokers as well had to approve creative. And there was a degree of inconsistency between them as to what was allowed and what wasn't. And so -- and it took them a while because they were kind of ramping the process in real time. And so that had kind of knock-on effects on the industry. And as I think about 2023 and those regulatory changes, we're feeling like it will be a lot better as an industry the second time around. Moving to the second part of your question, which is kind of going forward, and I think the CMS is always looking to optimize things as far as regulation goes. And I think they're talking about a number of things and there's been commentary from a number of different carriers around kind of where they're at. But I would say that rule changes by CMS have generally made real and meaningful progress in cleaning up some of the bad practices in the industry, and they've ultimately improved the user experience for seniors. And those are things that we think are actually really long-term positives for the industry, and we think they're going to keep continuing to look for ways to build on that progress. And quite frankly, we're -- we've been pretty good at adapting to these changes over time because they represent an opportunity. And we'll continue to do that going forward, and we're really excited about the future of the Medicare Advantage business.
Andrew Kligerman: Awesome. Thanks so much.
Pat Thompson: Thanks Andrew.
Operator: Thank you. Our final question for the day comes from the line of Ben Hendrix from RBC Capital. Please go ahead.
Ben Hendrix: Hi, thank you very much. Just a quick question on the health care business. We saw a lot, very turbulent period for earnings season for the carriers and saw some market share go to one carrier, in particular, CVS, versus slower growth than some of the others. Just wanted to see kind of how that translated to your transaction mix this quarter, if you saw anything in the fourth quarter that was unusual in terms of mix and then how that's translating to OEP thus far in the season? Thank you.
Pat Thompson: Yes. And Ben, I would say, of course, we saw changes on an individual carrier level basis and we do every year on that, which is seen as some people are a little bit more bullish, a little bit more bearish. But I would say that the macro trends have been pretty stable over time, their carriers continue to find our marketplace attractive and be leaning in to try to find pockets of customers that make sense for them. And as far as translating into the special enrollment period that's underway now, I would say the business is down significantly from the AETP and I would say the trends are not all that different from kind of what we saw during AEP or quite frankly, what we're seeing even going in AEP.
Ben Hendrix: Thank you for squeezing me in.
Pat Thompson: Thank you, Ben.
Operator: Thank you. Ladies and gentlemen, as we have no further questions at this time, we will conclude today's conference call. We thank you for participating, and you may now disconnect.